Operator: Good morning. Good day, everyone, and welcome to the Curtiss-Wright’s third quarter earnings conference call. Today’s call is being recorded. (Operator instructions) For opening remarks and introductions, I would now like to turn the call over to Martin Benante, Chairman and CEO. Please go ahead, sir.
Martin Benante: Thank you very much, Melissa. Good morning, everyone. Welcome to our 2008 third quarter earnings conference call. Joining me today is Mr. Glenn Tynan; our CFO, who will begin our forum today.
Glenn Tynan: Thank you, Marty. If you do not have a copy of the earnings release, which was issued yesterday, please call Ms. Deborah Torrey at 973-597-4712 and she will be happy to email or fax a copy to you and add you to the Curtiss-Wright distribution list for all future press releases. Before we begin, please note that we will make certain forward-looking statements on today's call such as statements about the Company's competence and strategies or expectations about the results of operations, future contracts or market opportunities. While we believe that our operating plans are based on reasonable assumptions, we cannot guarantee that we will meet any expectations that might arise from these forward-looking statements or their underlying assumptions. Such forward-looking statements are made pursuant to the Safe Harbor provisions of the Security Reform Act of 1995 and involve the risks and uncertainties that may produce results or achievements that are materially different from those expressed or implied during this discussion. Such risks and uncertainties include those factors that generally affect the business of aerospace, defense, electronics, marine or industrial companies. Please refer to our SEC filings under the Securities Exchange Act of 1934, as amended, for a more through discussion of risks and uncertainties as well as further information relating to our business. For our agenda today, I will provide an overview of Curtiss-Wright's third quarter 2008 operating performance and then Marty will discuss our strategic markets and full-year outlook. After the formal remarks we will open the call for questions. So let's get started. Curtiss-Wright had consolidated sales of $436 million during the third quarter of 2008, an increase of 10% over the third quarter of 2007, including solid organic growth of 7%. Our organic sales growth was driven by contributions from all three segments, including 8% of Flow Control and Motion Control, and 4% at Metal Treatment. From a market perspective, our commercial markets grew 8% overall and 5% organically, including 39% organic growth in the power generation market and 7% in the general industrial market, partially offset by lower sales to the oil and gas market. In addition, our defense business grew a healthy 14% overall and 12% organically in the quarter led by 37% organic growth in ground defense and 10% organic growth in aerospace defense, partially offset by flat naval defense due to the timing of the procurement cycles. In our Flow Control segment sales increased 13% due to strong organic growth of 8% and the incremental sales of $10 million from our third quarter 2007 acquisition. From a market perspective, the sales improvement was primarily driven by strong organic growth in our power generation and in general industrial markets, slightly offset by lower sales to the oil and gas market due to the impact of the hurricane season and general economic conditions. The growth in power generation was driven by higher revenues for our reactor coolant pumps for the AP1000 program. The commercial markets are evident in Flow Control’s backlog, which is approximately 80% commercial and 20% defense at September 30th. In addition, we anticipate an increase in naval defense orders in 2009 as a result of the submarine and aircraft carrier procurement cycles. In our Motion Control segment sales increased 8%, nearly all of which was organic. The increase was 11% excluding the divestiture that closed in the second quarter of this year. The key driver of the organic growth was strong sales of our embedded computing products for tanks and light armored vehicles across the major platforms we served, including the Bradley Fighting Vehicle and future combat systems. In addition, we had higher sales to the aerospace defense market driven by the F22, F16, and V22 programs. The strong defense market more than offset the impact in commercial aerospace at the early stages of the Boeing strike and extended delays on the Boeing 787 and Eclipse programs. The third quarter includes only three weeks of the Boeing strike and as you are all aware that situation will have a more significant impact on our fourth quarter results. In addition, we anticipated a continual ramp up throughout the year on the Eclipse and Boeing 787 programs that did not materialize. Motion Controls’ backlog is balanced with approximately two-thirds defense and one-third commercial at September 30th. Sales in our Metal Treatment segment were up 11% from the prior year, nearly all of which was organic. Higher Airbus production drove overall higher sales in commercial aerospace, but was slightly offset by the impact of the Boeing strike in September, and as expected, weakness in the automotive market resulted in a 9% decline in the quarter in that market. Our consolidated operating income of $48 in the third quarter of 2008 increased 8% over the prior including 11% organic growth. The organic operating income growth was driven by our Flow Control segment, which achieved 30%, and healthy contributions from Motion Control at 10% and Metal Treatment at 6%. Our consolidated operating margin in the third quarter of 11.1% benefited from strong segment performance, but was negatively impacted by a foreign currency forward transaction related to our acquisition of VMetro. We entered into the transaction in September in order to limit the downside currency risk of a weakening U.S. dollar versus the Norwegian kroner due to an unusually volatile currency market fluctuation there was a sharp strengthening of the U.S. dollar after we entered into the transaction. In the end, the currency realized a net cash savings and a reduction in the purchase price from the offer day of $4 million and $7 million, respectively. However, as mandated by FAS 133, we marked to market the transaction at September 30th, which resulted in a $1.8 million pre-tax charge in Q3, and will result in and additional $1.4 million pre-tax charge in Q4. On a segment basis, Flow Control’s operating income improved 30% overall, including a 90% basis point margin improvement versus the prior year quarter. The improvement was the result of higher sales previously noted, improved profitability on several long-term contracts, and lower R&D expenses as cost relative to the AP1000 in 2007 did not reoccur. In addition, Flow Control recognized a negative inventory adjustment of approximately $1 million in the third quarter. Overall, our commercial businesses are generating strong margins while our defense businesses are at lower-than-normal margins due to the lower procurement of our traditional Navy programs and higher development work on the CVN-78 and the DDG 1000 programs. In our Motion Control segment, operating income increased 10% organically over the prior year quarter and margins were essentially flat. Demand for our embedded computing products produced solid results that were materially offset by the beginning staged of the Boeing strike and more significantly in the third quarter the extended delay in the ramp up for the Eclipse and Boeing 787 programs. Foreign currency translation positively impacted operating income by $700,000, or 50 basis points, in the quarter. In our Metal Treatment segment, operating income was up 6% from the prior year, generating a 40-basis point margin improvement, almost all of which was organic. The higher sales volume led by increased Airbus and aerospace defense business drove solid performance but was somewhat offset by lower sales in the automotive market. Consolidated net earnings of $28 million, or $0.60 per diluted share for the third quarter of 2008, equates to 9% growth over the prior year. This bottom line performance was achieved despite absorbing a significant increase in non-segment operating expenses as well as a 56% increase in corporate pension expense, offset partially by a 14% decrease in interest expense. New orders received in the third quarter of 2008 were $442 million, a decline of 35% from the prior year quarter as a result of the large AP1000 order from China received in 2007. Our backlog remains robust at $1.7 billion, up 33% from December 31. Overall, our book-to-bill ratio was a healthy 1.0 times in the third quarter. Now, I will review our liquidity and financial position. For the third quarter, our free cash flow, defined as cash flow from operations less capital expenditures, was negative $8 million versus a negative $18 million in the prior year, primarily due to working capital improvements sand timing of progress payments. Depreciation and amortization was approximately $19 million in the third quarter versus $16 million in the prior year. Capital expenditures were $24 million versus $12 million in the prior year. And as noted in the press release, we have decreased our 2008 free cash flow guidance to be in a range of $70 million and $80 million, primarily as a result of inventory build-ups in commercial aerospace relative the Boeing strike and program delays, and also in the oil and gas market due to a large contract for Essar Oil in India that is expected to ship in 2009, and also for anticipated orders that have shifted into 2009. . Our balance sheet remains strong with $77 million in cash, working capital of $423 million and total debt outstanding of $519 million as of September 30th, 2008 for a net debt-to-book capitalization of approximately 31%. I will now turn the call over to Marty to discuss our strategic market performance and our full-year guidance. Marty?
Martin Benante: Well, thank you, Glenn. I’m pleased to report our solid third quarter performance, which is a result of the strong demand for our advanced technologies as well as our strategic diversification, which enables Curtiss-Wright to continue to achieve growth and profitability in difficult economic environments. During the third quarter our core markets, specifically defense and energy, provided healthy growth and profitability. While uncertainty exists in the commercial aerospace market and throughout the global economy we are prepared to meet the challenge with our superior product portfolio, enhanced operating performance. Starting with defense, which represents just over one-third of our consolidated revenues, we achieved a robust growth of 14% in the third quarter and 10% year-to-date. Our ground defense portfolio led the increase with 38% growth, primarily related to embedded computing orders for the Bradley Fighting Vehicle as well as increased actuation systems for other light vehicles. Aerospace defense generated 15% in the third quarter driven by increased sales on the F22, F16, and V22 programs while navy defense revenues were flat in the third quarter and down 2% year-to-date. We are pleased that the President’s budget was approved in September. The fiscal year 2009 defense budget funds the next Virginia Class submarines, accelerates transitions to building two Virginia Class subs per year beginning in 2011, and provides multi-year procurement authorization for the next seven submarines. We received additional funding for the first submarine in April and are currently working on proposals for the seven block buy for non-nuclear components that we expect to be awarded in 2009. The nuclear reactor components they have the same multi-year procurement authority, but will likely include two or three shipsets. In addition, the 2009 budget authorize long-lead material procurement for the CVN-79 aircraft carrier construction, and we expect to see these contracts in late 2009 or early 2010. In the commercial markets, our 8% growth reflects strong demand for our advanced technologies led by our commercial nuclear power market, which generated 39% organic growth in the third quarter. This strong performance reflects both the start up of the AP1000 China program and increased orders for operating reactors related to planned outages and maintenance schedules. Our facility expansion in Cheswick, Pennsylvania for the AP1000 is currently more than a month ahead of schedule and they do work on the Chinese program to advance according to plan as well the start up for the domestic orders for three power plants. Our commercial aerospace market declined 5% in the third quarter due to the effect of the Boeing strike and extended delays in the start up of new programs such as the Eclipse and Boeing 787. While Boeing has achieved its settlement agreement with the Union, the cumulative market impact of the strike (inaudible) all suppliers as well as continued program delays requiring conservatism in demand forecast going forward. Our diversification has provided a significant measure of strength in our third quarter performance, but we are not totally immune to the unprecedented market turmoil and subsequent softness in the economy. Our oil and gas market declined 9% in the third quarter due a combination of the impact of the hurricane season and some orders were delayed until the fourth quarter. In addition to our strong operational performance our acquisition strategy continues to enhance our portfolio of advanced technologies in recent months. In September, our Metal Treatment segment acquired Parylene Coating Services, which provides a critical coating technology for medical device market such as coronary artery stents. We plan to extend PCS’ market reach by establishing this technology at a number of our global facilities in the future. In Motion Control, we acquired Mechetronics, a global leader in solenoid technology, based in the U.K., which will greatly enhance our portfolio in the general industrial market. In October, we completed the voluntary tender offer for VMetro, one of the largest, last largest independent high-performance embedding computing businesses. VMetro will notably enhance Curtiss-Wright’s products portfolio in the defense market with high-density, real-time processing, data recording, and network storage products. VMetro also brings a significant European presence, including a significant engineering talent pool, extensive sales and support team, and deep, long-standing customer relations. In addition, the addition of VMetro to our portfolio solidifies Curtiss-Wright’s position as the leading global provider of ruggedized embedded computing technologies. In summary, we are able to generate a solid quarter of growth and profitability as well as a substantial backlog of $1.7 billion that is indicative of our opportunities for a continued success going forward. Until September we expected we expected a better-than-average year as we were performing above our expectation. But the acquisition of VMetro and the Boeing strike has required us to reduce our full-year guidance. Due to the ongoing challenges ahead, we are updating our full-year guidance for sales in a range of $1.83 billion to $1.85 billion; operating income to be in a range of $203 million to $207 million; and EPS to be in a range of $2.45 and $2.50. To wrap up my prepared remarks today, I would like to reiterate how pleased we are with our performance year-to-date and we reiterate our strong outlook for Curtiss-Wright to continue to grow sales and profitability over the long-term horizon. I will now open the call up for any questions you may have.
Operator: (Operator instructions) And we’ll go first to Myles Walton with Oppenheimer.
Myles Walton – Oppenheimer & Co.: Thanks, good morning.
Glenn Tynan: Hi, Myles.
Martin Benante: Hi Myles, how are doing?
Myles Walton – Oppenheimer & Co.: Okay, okay. Hey, thanks for the color in the release as to the individual items that are affecting the guidance. I was wondering though if you could give us maybe in the quarter and for the year what the revenue impact was of the strike as well as the 787 and Eclipse delays.
Glenn Tynan: Myles, I don’t have it broken up by quarter, but I have the annual amounts that line up with those numbers that were in the press release. For the Boeing strike, it’s about $12 million. For the Eclipse and the Boeing 787 it’s about $10 million – $10 million to $11 million, somewhere in there.
Myles Walton – Oppenheimer & Co.: Okay. And is it – say VMetro lag may be $12 million to the fourth quarter is that about right?
Glenn Tynan: We think it’s probably going to be close to $14 million –
Martin Benante: Right.
Glenn Tynan: Depending upon what exchange rate you use.
Myles Walton – Oppenheimer & Co.: Okay.
Glenn Tynan: (inaudible) saying it’s about $14 million.
Myles Walton – Oppenheimer & Co.: Okay, fair enough. And you commented on some of the moving parts as far as growth in oil and gas and some slippage of those orders as well as the hurricane effect. Can you give us a little bit more color on the slippage of the orders in particular and should that mean that 2009 will be an accelerating annualized growth versus 2008 oil and gas or maybe just kind of how it’s going roll into 2009? Are these things pushing out and being collected in 2009 and therefore maybe you are making your oil and gas growth for ’09 an acceleration?
Martin Benante: Well, Myles, on the oil and gas, I don’t know if it will be an acceleration, I think it will – might be slightly improved what 2008 would look like. I think what everybody is doing based on the capital market stress is that they are realigning their project and taking hardware when they absolutely need it. So we are getting some slippage into 2009 and I may say that some of the business for 2009 may slip into 2010, but I think on the whole we’ll do fine in the oil and gas industry.
Myles Walton – Oppenheimer & Co.: Okay. And then on naval, I just wanted to understand the bookings I think you talked about now taking place in 2009. So, I guess that would mean that you won't have the growth in the defense naval business in 2008; you would expect that to take place in 2010, is that – ?
Martin Benante: No, no, I think that we indicated that 2008 was the slowest –
Myles Walton – Oppenheimer & Co.: Yes.
Martin Benante: -sales basis and that will start picking up in 2009. The thing is because we have several businesses associated in the navy business each one of them has different start times as far their new orders are concerned. So, as we indicated previously, 2009 will be an improvement over 2008 and 2010 will definitely be an improvement over 2009.
Myles Walton – Oppenheimer & Co.: Okay. And I know that your strategic planning usually takes place in November, I think, but maybe a couple of things that I think you probably have clarity on or a little bit better clarity than I do, the earnings impact of VMetro in ’09, how should we think about that – ?
Martin Benante: Certainly, the – what will happen is you will see a dilutive effect in the first couple of quarters and then it will reverse itself and it will be neutral or slightly accretive as far as VMetro is concerned.
Myles Walton – Oppenheimer & Co.: Okay. And then maybe, Glenn, on pension – ?
Glenn Tynan: Yes.
Myles Walton – Oppenheimer & Co.: What should we expect into 2009?
Glenn Tynan: Oh man, that’ a low – well I will tell you. This we are at – as of the valuation using September was the last time we did our preliminary valuation. Let me just say we are – formal valuation date is December 31 now. So we won't really have our final numbers until January, but I will use September. You can probably expect $1 million increase in 2009 in our pension expense from $8 million to about $9 million. That’s holding our assumptions the same as this year, our return on assets at 8.5%, and a discount rate of 6%. But as you know, everything is in a flux. The asset values have changed since then, the discount rates have changed. So, we really won't have those final numbers until January.
Myles Walton – Oppenheimer & Co.: But a ballpark, I mean if the discount rate goes to 7%-7.5% and market returns or your plan returns to down 20% will that change very much what you just said about increase about $1 million?
Glenn Tynan: Well, right now the sensitivity on a quarter point – if the discount rate went up to 7%, it’s probably a half a million dollar benefit, say.
Myles Walton – Oppenheimer & Co.: Okay.
Glenn Tynan: A quarter of a million dollars per quarter point.
Myles Walton – Oppenheimer & Co.: Okay.
Glenn Tynan: So that’s kind of our sensitivity. So if it goes up to 7%, we could get 500 of that back, but if the asset values continue to deteriorate obviously everything is up for grabs again.
Myles Walton – Oppenheimer & Co.: Okay.
Glenn Tynan: Yes, (inaudible) whole calculation. But that’s the way it is as of September 30th with what we know right now.
Myles Walton – Oppenheimer & Co.: Okay, fair enough. And one last cleanup one on tax rate, will you have a pickup on R&D tax credit legislation in the fourth quarter. I guess from the implied 35.7% it doesn’t look like it but I am just kind of curious about that.
Glenn Tynan: Yes, there is a little bit built into there an estimate into the fourth quarter. So, we are expecting a little bit. It’s not very material, though. I don’t have the exact figure on hand, but it’s a small number.
Myles Walton – Oppenheimer & Co.: Okay. Thank you.
Glenn Tynan: We have built that into the rate.
Myles Walton – Oppenheimer & Co.: Okay. Thank you.
Glenn Tynan: You are welcome.
Operator: We will take our next question from Steve Levenson with Stifel Nicolaus.
Stephen Levenson – Stifel Nicolaus & Company: Thanks, good morning.
Martin Benante: Hi Steve.
Glenn Tynan: Good morning, Steve.
Stephen Levenson – Stifel Nicolaus & Company: There have been talk coming out of the Nuclear Regulatory Commission that they are concerned with some of the imported reactors and keeping control on the parts that go into them. Do you think that opens an opportunity for Curtiss-Wright to make parts for reactors that it’s currently not doing?
Martin Benante: Well, we’ve always – we always thought (inaudible) and we have thought that we will be participating what never comes into the United States. Areva just announced that they are teaming with General Dynamics for building reactors in the United States and that they would look at offloading or offsetting 80% of the manufacturing in the United States. So, yes, we definitely intend to participate in all of the reactor builders that come into United States.
Stephen Levenson – Stifel Nicolaus & Company: Specifically, do you think that helps on the coolant pumps or do you think that’s something they will bring on their own?
Martin Benante: Well, the thing is that we are one of the few people that have this facility that can do that, so – if you got to offset 80% it would probably include some portion of those reactor coolant pumps.
Stephen Levenson – Stifel Nicolaus & Company: Okay (inaudible)
Martin Benante: 80%.
Stephen Levenson – Stifel Nicolaus & Company: And how much remaining is there for you to spend on capital expenditures on the plant there in the fourth quarter and next year or is it largely done?
Martin Benante: It’s largely done. In fact, we intend to have an investors conference there in the May or the June timeframe about when it will be completely done, machines will be in and we’ll be manufacturing hardware through that plant.
Stephen Levenson – Stifel Nicolaus & Company: Great. On V22 and some of your other aircraft programs, I know there are a number of production rate increases. What are your lead times, when do you expect to see the revenue begin to ramp up or continue, when do you see a jump on those program?
Martin Benante: Well, we merely covert orders pretty quickly when it comes to our actuation systems in both the F22 and V22 and F16, so I would imagine that we are going impact in the early part of 2009.
Stephen Levenson – Stifel Nicolaus & Company: Okay, thanks. Last one, it sounds like Eclipse is certainly having some problems and I guess there is a question how much longer they will be around. I don’t know where you stand in the backlog, are there things that you could potentially have to de-book related to Eclipse.
Martin Benante: OE sales – OE orders. The thing is that realistically speak – there is not really many programs that cause us any headache. Unfortunately, if you looked at the Boeing strike and the VMetro situation combined we probably could have lived with either one of those occurrences taking place without the other to stay within guidance. But Eclipse to us is – it’s not a big thing, it’s not that biggest hit [ph]. The problem is you get a lot of little things that have taken place that we are – that’s been (inaudible) on us, that’s about it.
Stephen Levenson – Stifel Nicolaus & Company: Okay. Thanks very much.
Martin Benante: Alright, Steve.
Operator: We will take our next question from Eric Hugel with Stephens.
Eric Hugel – Stephens Inc.: Good morning guys.
Martin Benante: Hey, good morning, Eric.
Eric Hugel – Stephens Inc.: Hey, what are your assumptions for when the Boeing strike will be settled, is it sort of they go back to work on Monday and it’s just of you don’t really probably make up what you – what was lost just sort of gets pushed out and sort of how quickly can you guys sort of ramp back up?
Martin Benante: Well, let’s put it this way. It really doesn’t matter what they do. It really matters what we are turned on to deliver. If you look from the beginning of strike, which was September 6th or 8th, it’s basically 17 weeks to the end of the year. We were cut off immediately and now we are only going to get five additional weeks of shipment. So, if you take the 17 minus the five, we really have the 12-week or one quarter impact from the Boeing strike. We can ramp up very quickly. Our people are still there. The one thing, when Boeing has strike their people are near the side of fence, our people are not, our people are inside the fence. Obviously, we didn’t lay anybody off and we were making hardware and other programs, which pushed up our inventory, but we are able to (inaudible) immediate. But realistically everybody has – when they talk about the Boeing strike, they have a different effect. I mean if you are behind schedule, you are going to ship more than this year than some other people are. We are always aligned a line with Boeing. We have a list of delivery and (inaudible) just about 18 years. So our effect is really 12 weeks of not shipping compared to whomever else is out there, whatever else effect they would have.
Eric Hugel – Stephens Inc.: But I guess you are also going to have an impact if I mean Boeing just doesn’t flip the switch and ramp back up to full speed immediately, you are probably going to have – it’s probably going to take them a month or so just to get back up to speed, correct?
Martin Benante: Well, again, we are only going to get five weeks of shipment starting now. We’ve already worked – they’ve really much worked out the details with Boeing, so –
Eric Hugel – Stephens Inc.: I mean so your expectations were flat right now sort of where things are now as if the strike was settled on Saturday and they go back to work on Monday and start that ramp process.
Martin Benante: Right.
Eric Hugel – Stephens Inc.: Okay, perfect. With regards to your comment earlier with Areva building a plant here and looking to get 80% U.S. content, I guess the big dollars for you I mean obviously you have lots of opportunities on other things, but with regards to I mean might you have opportunities to build reactor coolant pumps for the ERP, for whatever the European – for the Areva reactor, for U.S., I mean is that a different technology or I mean do you have that kind of technology? Are there sensitivities at play, Areva might not sort of look to a guy like you to build that?
Martin Benante: We have that technology. Basically that technology is a Westinghouse technology, so we do have the technology. It really comes down to what Areva intends to subcontract. We have been having discussion with them, they are very wide ranged, and we’ll see what happens when the dust clears.
Eric Hugel – Stephens Inc.: I mean just in terms of ballpark, if they did come to you and say, hey, we want you to build this stuff, would the opportunity be potentially as large for a potential content on an Areva reactor as it would be for an AP1000 reactor?
Martin Benante: No, I don’t believe so.
Eric Hugel – Stephens Inc.: Okay.
Martin Benante: But I am not sure – the thing is we are not really sure what that’s going to be, so –
Eric Hugel – Stephens Inc.: Yes, I know, it’s –
Martin Benante: It’s going be better than zero, that’s for sure.
Eric Hugel – Stephens Inc.: I guess so.
Martin Benante: It wasn’t the content we currently have right now, so that’s encouraging – so when it’s going to be we’ll find out.
Eric Hugel – Stephens Inc.: Right because the content you have now or the – it would be like drive rod control mechanism and airlock type systems, right?
Martin Benante: Right, (inaudible) exactly.
Eric Hugel – Stephens Inc.: Okay. When would you expect for things like China and the currently on order U.S. – just start to see those types of follow-on orders beyond just reactor coolant pumps?
Martin Benante: We indicated that we are starting to quote already main (inaudible) some relief valves, (inaudible) oil. I would imagine that we are going to start to see orders beginning either end of this year or beginning of next year. And again, because we have so many products it’s going to be very widespread as to when you get those orders. Now, we have over what 150 technologies that we can sell. So –
Eric Hugel – Stephens Inc.: Okay. With regard to I guess your pension as of 09/30 can you sort of give us sort of a – what was that sort of between equity and debt and other sort of investments, sort of what’s the mix? Now, you probably don’t know your returns, right. What was your return as of September 30th? And do you have any inkling as what it would be like as of now?
Glenn Tynan: No, I don’t – I quite frankly don’t have that at my finger tips. I think our mix is 65 equities, 35 – our target mix. Obviously the values will change as of September. I just don’t have that at my finger tips. But our target is 65:35, equities versus fixed. You know the value has got deteriorated since September 30th, but I just don’t know the impact. It’s kind of fluid, as you know. We are just not that dynamic with our pension calculation (inaudible) on a daily basis. So, I don’t know the actual returns through September right at this moment.
Eric Hugel – Stephens Inc.: Okay. And I guess with regard to thinking about as we get into fourth quarter and into next year, should we expect to see some – I mean you’ve been – you guys have been seeing some headwind over the last couple of years because of the strong dollar. Now – because of the weak dollar. Now that the dollar is strengthening, should we start to think about sort of you guys now getting a bit of a tailwind and – with regards to the Canadian dollar, and now you were talking about the krona and some of the U.K. businesses.
Martin Benante: Well, I think there is no question we should see some favorable activity in the fourth quarter for sure. The rates are – Canadian dollar rate is unbelievable at this point, so for once – which is quite frankly what we predicted at the beginning of the year it was going to go this way. It’s probably one of the first times it actually did get better throughout the year like we kind of budget. But we have set preliminary rates. We haven’t set our final rates for 2009 for obvious reasons. We wait till around now or November see where they are so – but I think you are going to see some favorable activity year-over-year heading into next year. The rates are favorable as you – compared to the share for sure.
Eric Hugel – Stephens Inc.: Great, thanks a lot guys.
Glenn Tynan: Alright.
Martin Benante: No – no question.
Operator: We’ll take our next question from Karl Oehlschlaeger with Macquarie Capital.
Karl Oehlschlaeger – Macquarie Capital: Hey, good morning guys.
Glenn Tynan: Hi, good morning.
Martin Benante: Hi, good morning, Karl.
Karl Oehlschlaeger – Macquarie Capital: Hey, would you – you had 7% organic growth in the quarter when you think about how that’s trending given all those sort of puts and takes, I know it’s kind of difficult but what do you think – I mean how do you think the next several quarters and into ’09, that’s shaping up given what’s going on with the economy and the aerospace market I mean how are you thinking about that?
Martin Benante: Well, the thing is that the aero – one of the problems with the growth is obviously some September shipments stopped. So the commercial growth would have – should have been better. What’s interesting is that the growth in the military as we originally predicted would be somewhere around 6% is extremely high right now. We think our organic growth is going to be fine. Even next year we are still looking that will be somewhere around the 8% to 5% area. When you really look at the products that we have, in gas and oil, they are going to continue to refine heavy crude or all of our products are made at improving the safety and reliability and also the increased maintenance – improved maintenance. Nuclear power, again shutdown nuclear power plants. Those programs they will get delayed because it’s a five-year cycle and you will go in as in a cycle, anyway. Defense is going up. So, we look at it very strong. When you look at the commercial aerospace and the automotive that’s about 18% of our portfolio. Backlog look good for 2009. I don’t think you are going to see big ramp ups. Airbus, I don’t think it’s going to ramp up the (inaudible). It will be somewhat neutral. Automobile, which is about 4% to 5% of our – or less of our portfolio, obviously it’s going to decline. So, you are going to have the commercial aerospace will probably be neutral. Aerospace – automobile will go down, but the rest of the markets should hang in and improve very nicely. So I am not that worried, I think we’ll do very – we’ll be fine in 2009.
Karl Oehlschlaeger – Macquarie Capital: And the commercial aerospace, can you remind me what your mix between OEM and after market?
Martin Benante: We are mostly OEM.
Karl Oehlschlaeger – Macquarie Capital: Okay. And in oil and gas you mentioned that it was down 9% –
Martin Benante: Yeah, quarter to quarter.
Karl Oehlschlaeger – Macquarie Capital: Quarter to quarter and then was hurricane really [ph]. How much was the hurricane?
Glenn Tynan: The hurricane in the third quarter was about $3.6 million in sales. Okay? That’s really shifted into the fourth quarter for the most.
Karl Oehlschlaeger – Macquarie Capital: Right.
Glenn Tynan: Yes.
Karl Oehlschlaeger – Macquarie Capital: And then in terms of what’s some of the business that slipped because you’ve seen some of the customers pushing off some CapEx and trying to save – conserve cash, within your product bases there are certain areas that are getting hit more than other or is pretty much across the board?
Martin Benante: No, the government is not moving, so defense market is buying the – commercial nuclear is not moving. The only thing that moved a little bit is our gas and oil
Karl Oehlschlaeger – Macquarie Capital: I meant within the oil and gas there.
Martin Benante: That’s it?
Karl Oehlschlaeger – Macquarie Capital: Yes. But (inaudible) like DeltaValve was more than something or just across the board within that segment?
Martin Benante: Exactly.
Karl Oehlschlaeger – Macquarie Capital: Okay. And then just finally on pension, just kind of go back real quick, not to get a lecture on how you do it, but with your 8.5% return assumption – ?
Glenn Tynan: Yes.
Karl Oehlschlaeger – Macquarie Capital: What is the methodology there you use to determine what that number is given that the market is down a lot and how do you spread that out if you do over the couple of years?
Glenn Tynan: Yes, it’s a building block approach, not atypical for I think we build it from expected returns in each of the segments of your plan assets. Ironically, we even discussed with our actuaries that particular thing and we’re still holding it at 8.5% because again it’s a long term assumption and right now we’re still – we still support for the 8.5%. We’ve had downturns in market before where the – negative returns we held at 8%, we’ve had times when they – in a 10-year cycle where they have been well over the 8.5%. But, it’s been a good solid long-term thing and we don’t change it very often, again, because of our long-term view. And the last time I think – it was probably a couple of years ago, we looked at the market and top 100 pension plans, we were in the bottom. There was only five companies in the – out of the 100 that were below 8.5%., they were all well above 8.5%. So, we are – I think we are pretty conservative at that point.
Karl Oehlschlaeger – Macquarie Capital: Okay. Thank you.
Glenn Tynan: You are welcome..
Operator: (Operator instructions) We will take our next question from Jim Foung with Gabelli and Company.
Jim Foung – Gabelli & Company: Hi, good morning.
Glenn Tynan: Hi, good morning.
Martin Benante: Hi, good morning, how do you do?
Jim Foung – Gabelli & Company: Okay. I was just wondering, Marty, did you just give us the percent of sales you sell to Boeing I guess on an annual basis – ?
Martin Benante: Of our 14% aerospace, about two-thirds of that is Boeing and one-third is Airbus.
Jim Foung – Gabelli & Company: Okay. And then – so the Boeing strike will impact all your businesses (inaudible) pretty much right?
Martin Benante: Well, the thing is that the – it does impacts metal improvement and it impacts controls and there are some – Penny and Giles, but basically those are the two businesses that were affected most by the strike.
Jim Foung – Gabelli & Company: Okay. And then – and could you just kind of – I am not quite familiar with the Eclipse, I mean what problems they are going through, could you just kind of just give me more color in terms of what your shipset is to Eclipse? And then I know they’ve taken down production numbers from a very high level to current, but if you could just provide some update on that.
Glenn Tynan: Yes, I mean the – the thing with the Eclipse I mean they almost went – they are struggling with financing, they are having financial difficulties I mean and they impact us as we build into our plan and our budget X amount of shipset. I don’t have the exact – and down to the exact shipset, but we were quantifying is the fact – is how much should we’ve actually gotten versus what we planned for and they are struggling. I do want to carry – just to (inaudible) follow up on a question that Steve answered before too, with Eclipse as well in terms of the orders, we don’t really have to de-book any orders per se because we have them on COD basis right now. So as we get orders, they need to pay for them before we begin some – that’s the – it won't have an impact on our backlog or any of the orders to de-book them. But that’s the general issue. I don’t have the exact shipsets, but if originally they had – I think in broad terms say that we are going to do 1000 shipsets since 2008, well our projection was probably may be 300 to 400. They are actually coming in at 50 or whatever, and that’s the issue –
Martin Benante: We really guided that number down from a number they originally had, but they didn’t even come up close to our number, which was, we thought, extremely conservative.
Jim Foung – Gabelli & Company: Right. So they are going to doing about 50 shipsets this year then right, yes, so that kind of it’s like almost –
Glenn Tynan: I don’t have the exact number.
Martin Benante: I think about 200, I think.
Glenn Tynan: I am assuming that hypothetically—
Jim Foung – Gabelli & Company: Okay. So you are just going to –
Glenn Tynan: Yes, they are basically way, way below what we already knocked down from their projections.
Jim Foung – Gabelli & Company: Okay. Alright. That’s good. Thank you. And then just on – and then on the 787, what’s your – I mean you saw development, but right now – what’s your dollar – what’s your shipset on their – on the Boeing 787-?
Martin Benante: About two in a quarter.
Jim Foung – Gabelli & Company: Two in a quarter, okay?
Martin Benante: Yes.
Jim Foung – Gabelli & Company: Okay. And you just swing over to Flow Control, I missed your last analyst meeting in the oil and gas area, but I was just wondering, is there any change in your schedule to China or to the domestics in terms of what you laid out a couple of years ago?
Martin Benante: No, not at all.
Jim Foung – Gabelli & Company: Okay. So, and then everything is fine track pretty much as you thought?
Martin Benante: Everything is on track.
Jim Foung – Gabelli & Company: Okay. And then lastly with Areva, have you sold to them before? I know you have some dollar content, which you laid out –
Glenn Tynan: Yes, we have sold to them before in the – mostly in the companies we’ve acquired over the last couple of year. It’s always been our intent that we will gain content on all nuclear reactors and so – yes, we have shipped and sold to Areva before.
Jim Foung – Gabelli & Company: Okay. And then so if you get anything for this kind of potential domestic business it will be upside to you in the Flow Control business?
Martin Benante: Yes.
Jim Foung – Gabelli & Company: Okay.
Martin Benante: Well, so we haven’t anticipated what it would and we’ve laid those numbers out. It’s just that we do expect that we will be contracted over and above our traditional products.
Jim Foung – Gabelli & Company: Right, okay. Alright, great, thank you.
Martin Benante: Bye, Jim.
Operator: We will take a follow-up question from Eric Hugel with Stephens.
Eric Hugel – Stephens Inc.: Hey guys. Just a follow-up on an earlier comment you made about oil and gas market projects sort of being delayed because of issues in the capital markets.
Martin Benante: Right.
Eric Hugel – Stephens Inc.: Are you seeing any of that on the nuclear power side too. I mean those are to be kind of capital intensive.
Martin Benante: No, no, realistically, the nuclear power plants [ph] always go through their normal maintenance and repair cycle –
Eric Hugel – Stephens Inc.: I am not talking maintenance and repair, I am talking new builds.
Martin Benante: No, no, not at all, not at all. I was just going to give you the scope of the entire –
Eric Hugel – Stephens Inc.: Oh okay, yes, go ahead.
Martin Benante: In other words they never fully move things out. When things have to get done, they have to get done. So – I – we don’t really see a pushback when we start to take a look at around the world there was a change in government in South Africa. They were going to have a decision made somewhere the early part of 2009, which will get put off. India is also anxious for nuclear power. They went from having five reactors picked from five different reactor builders to they are going to select two and then do a down select as those plants are put in. So, there is still good demand for nuclear power.
Eric Hugel – Stephens Inc.: Are you somewhat skeptical that some of this demand given sort of the decline in oil?
Martin Benante: No, because I think when all is said and done, when the economy comes back and it will you still are going to have a problem. The thing is that you still have oil will start being pushed up again. You are going to be pushed right back in the same situation and everybody knows that. I mean, prior to the decline in oil, you still had problems in India and in China where they just don’t have enough power and they are not going to have enough power. The slowdown in those countries are going to be less than the slowdown in our countries. So, I don’t see that as being a deterrence to building nuclear power because if it is it can only be for a short period of time and it’s going to be a short-sighted situation.
Eric Hugel – Stephens Inc.: And just one just for bookkeeping, what are you guys looking for I guess with the VMetro deal now, what are you guys looking for, for the year in terms of interest expense.
Glenn Tynan: On VMetro alone?
Eric Hugel – Stephens Inc.: Well, just in terms of for the year, what we shall be targeting as interest expense?
Glenn Tynan: For 2008?
Eric Hugel – Stephens Inc.: Yes.
Glenn Tynan: Probably an extra $0.5 million.
Eric Hugel – Stephens Inc.: So, on top of the run rate you did in the third quarter, just stack on another $0.5 million on to that? That should be a good number?
Glenn Tynan: No, I think it’s probably $1 million, Eric. There is two pieces of it. VMetro probably will have $0.5 million on their notes, and we’ll have about $0.5 million on our – so about $1 million
Eric Hugel – Stephens Inc.: So, about $7.5 million in the fourth quarter or so?
Glenn Tynan: Yes, I mean we are still holding around $30 million for the year, whatever that works out to be that’s in – that’s still in our number for the year.
Eric Hugel – Stephens Inc.: Great. Thanks a lot guys.
Glenn Tynan: All right.
Martin Benante: Alright, Eric.
Operator: And we’ll take a follow-up from Myles Walton with Oppenheimer.
Myles Walton – Oppenheimer & Co.: Hey, thanks. Just a couple of questions on bookings, if you can provide either bookings or backlog by segment in the quarter and also as you look to 4Q what’s your kind of expectation is for book-to-bill? Last couple of years it hasn’t been above one, and I am just curious if you think it would above one in the coming fourth quarter?
Glenn Tynan: Well, the book-to-bill – fourth quarter, it’s tough to get a book-to-bill because [ph] it’s our biggest bill month.
Myles Walton – Oppenheimer & Co.: Yes.
Glenn Tynan: But – so it’s – the rest of the quarters are higher book-to-bill, but the backlog at September is 582, is Motion Control, $1.148 is Flow Control.
Myles Walton – Oppenheimer & Co.: Okay. So, both of them had about book-to-bill of one?
Glenn Tynan: Yes. Yes, roughly but – yes, yes. Fourth quarter is tough because we have our biggest sales month, biggest billing month, so I wouldn’t expect as we typically do – probably a little bit below.
Myles Walton – Oppenheimer & Co.: Yes, I know I understand it’s tough to offset that. And the advanced procurement for the second sub, I think you mentioned you got some in April, is that correct?
Glenn Tynan: Yes.
Myles Walton – Oppenheimer & Co.: And is there a second piece of that that comes in this year or is the next piece to come until you get to the block buy on the Virginia –
Martin Benante: We’ll probably get more this year, and we’ll get some pushed to the next year, again, because we have four businesses that supplies to that and well are different procurement cycles, it’s going to spread around.
Myles Walton – Oppenheimer & Co.: Okay. Okay, alright, thanks again.
Martin Benante: But I think, Myles, if you try to get to – we should have a strong military new orders coming that one of the things that you normally see because of the large dollar value of contracts is that we have yet to see the aircraft carrier come in, which produces high blips, and right now we are down at the end of the cycle, so you are going to see a lot more shipments with not much new orders. And then that’s going to reverse itself and it’s going to reverse itself in the next year.
Myles Walton – Oppenheimer & Co.: Okay. Yes it did sound – it sounded like the block buys are an ’09 event and the—
Martin Benante: Yes, probably it’s going to somewhere there and then – so, yes, we are going to get the large set new orders from those particular items.
Myles Walton – Oppenheimer & Co.: But in the mean time your backlog is enough to support low single-digit type growth, real acceleration in the defense naval business.
Martin Benante: Oh yes, without doubt.
Myles Walton – Oppenheimer & Co.: Okay. Thanks a lot.
Operator: We’ll take our next question from Tyler Hojo with Sidoti and Company.
Tyler Hojo – Sidoti & Company: Hey guys. I hopped on a little bit late, so I don’t know if you’ve covered this, but the guidance, did you break that per segment yet?
Glenn Tynan: Yes, we did not.
Tyler Hojo – Sidoti & Company: Would you mind doing that?
Glenn Tynan: Sure.
Tyler Hojo – Sidoti & Company: Sales.
Glenn Tynan: Sales or operating – I will give sales and operating margins. Flow Control between $925 million and $930 million.
Tyler Hojo – Sidoti & Company: Okay.
Glenn Tynan: Motion Control $640 million to $650 million.
Tyler Hojo – Sidoti & Company: Okay.
Glenn Tynan: And Metal Treatment between $265 million and $265 million. They are going to be around $265 million.
Tyler Hojo – Sidoti & Company: Got it.
Glenn Tynan: The margins for Flow Control hadn’t really changed too much, about 10.7 to 10.8.
Tyler Hojo – Sidoti & Company: Okay.
Glenn Tynan: Motion Control 10.2 to 10.5.
Tyler Hojo – Sidoti & Company: Got it.
Glenn Tynan: And Metals will be around – Metal Treatment will be around 20.
Tyler Hojo – Sidoti & Company: Okay, great. And then just a little bit of clarification here since so much of the call has kind of been on Eclipse, what’s your content there? I didn’t think you had too much exposure to that platform.
Glenn Tynan: I think it’s about $30,000 a shipset.
Tyler Hojo – Sidoti & Company: Okay.
Martin Benante: There is just a lot of them.
Glenn Tynan: Yes, the numbers are big in terms of volume.
Tyler Hojo – Sidoti & Company: Okay.
Martin Benante: And realistically it’s not so much that – the 787 entire content. It’s really just are multiple little things that just nipped and tucked. The only reason why we are laying that out is obvious we did drop our guidance, but realistically if it wasn’t for either the strike and/or the acquisition we probably would have been – could have kept within the guidance even though there has been some changes. And, yes, there is always pluses and there is always minuses when all is said and done.
Tyler Hojo – Sidoti & Company: Okay, that’s –
Martin Benante: And you shouldn’t look at Eclipse as being – it’s not that big of a – it just happens it went almost zero from what we anticipated.
Tyler Hojo – Sidoti & Company: No, that certainly makes sense. And then, just lastly, Marty, I think you commented just on – I think you said your expectation for commercial aero was that it was going to be flat year-on-year, is that right?
Martin Benante: Yes, I think so. I think that even though Boeing said that their numbers will go up, you got to have a little bit of conservatism in there. There are some airlines that are starting to show that weakness and there may some spare airplanes out in the market, so if it goes up it’s fine, but I will look at it as being more neutral than anything else.
Tyler Hojo – Sidoti & Company: So, for your planning purposes, you are likely then to look at it as flat, is that fair?
Martin Benante: Yes, it think so, yes.
Tyler Hojo – Sidoti & Company: Alright, great. Thanks a lot.
Martin Benante: Okay.
Operator: (Operator instructions) We will take our next question from Bob Fetch with Lord Abbett.
Bob Fetch – Lord Abbett: Hi, good morning.
Martin Benante: Good morning.
Glenn Tynan: Hey, Bob, how are you?
Bob Fetch – Lord Abbett: Very well, thank you. If you can expand a little bit on the Metal treatment side, I think over the last few years you’ve been talking about gaining some penetration in Europe and in particular exposure the auto business and I think your Dulles [ph] facility in France as well. Can you just update us on the activities generally there and if now the facilities have come on just as the end market is declining?
Martin Benante: I am sorry, I really didn’t hear all that. You were breaking up a little bit.
Bob Fetch – Lord Abbett: Okay. On Metal Treatment market, I think one of the areas you’ve been going after is some of the European auto customers.
Martin Benante: Yes.
Bob Fetch – Lord Abbett: And your Dulles [ph] facility in France – ?
Martin Benante: Right.
Bob Fetch – Lord Abbett: How is that progressing, is it really a penetration story at this time and even if the end market might be declining somewhat your business is expanding?
Martin Benante: Well the thing is that I never look at the downturn, is it going to be a moment in time, okay. And the thing is we already are in the construction of the plant and will be manning it. So, we are going to continue on with that item. Same thing in China I mean we are – we have expanded in China. China needs a lot of plating. They need a lot of finishing. Obviously, they’ve been under severe attack from some of the mishaps they’ve had in their process problems be it food or other products. And again, the – on the French market, their market is not going to expand but the Chinese market for our type of products will be expanding.
Bob Fetch – Lord Abbett: Okay. And then just generally for laser peening, can you – is there any more visibility in terms of some of the newer applications projects that you have been working years on?
Martin Benante: Well, the thing is that we have installed a laser in – with Boeing to help form the 747-8 wing, and we are looking at other applications that we hope we’ll be using that laser that we have placed there. Obviously, it hasn’t gotten too much use with the strike that’s going on.
Bob Fetch – Lord Abbett: And how about in the non-aero area though?
Martin Benante: We have some prospects. More of it is in the gas turbine and turbine related items we’re getting more orders for different type of gas turbine configurations. So, that started to take some good momentum there.
Bob Fetch – Lord Abbett: Can you update us on momentum in the subsea area with some of the application programs you’ve been working on and I know I think Cameron was one of your primary customers.
Martin Benante: Right. The thing is that unfortunately that rig is just being deployed and it’s going to take at least six months. It’s the never ending story on that item because it was supposed to be deployed a year ago. It was (inaudible) but it’s going to be deployed and we’ll see the results we get from it, but we expect very, very good results on that particular aspect.
Bob Fetch – Lord Abbett: Okay. In regards to tax you’ve talked about the level of paid-for development and back – maybe (inaudible) you might have thrown out a number like $60 million. Is that a number that tends to rise in time and with the expectation that oftentimes that generally results in some multiple of revenue off that development spend.
Martin Benante: The development spend has been increasing on a yearly basis. And it’s not so much related to our size; it’s related to the fact that our technologies are being used in many different applications. So, actually that number has been increasing. Sometimes, when you have good years as far as profitability is concerned and it doesn’t any particular quarter, it kind of goes unnoticed and untalked about, but we still have a lot of paid-for development by our customers. And right now it’s more than $60 million.
Bob Fetch – Lord Abbett: Okay. And are we getting closer to Advanced for existing gear getting installed or sales generated?
Martin Benante: The Advanced arresting gear, yes.
Bob Fetch – Lord Abbett: Yes.
Martin Benante: We are currently shipping the advanced arresting gear for the CVN-78.
Bob Fetch – Lord Abbett: Okay. And what’s the penetration so far?
Martin Benante: On the advanced arresting gear you know that’s going to be retrofitted –
Bob Fetch – Lord Abbett: Right.
Martin Benante: The fleet may have I think funding for five aircraft carriers. This is the first one. It will be the prove-out and then as they start refueling ships they will start putting in more on the advanced arresting gear.
Bob Fetch – Lord Abbett: So, how many potential ships are we talking about then?
Martin Benante: Well, you are talking – right now they have five, but it’s going to be a total of 10.
Bob Fetch – Lord Abbett: Okay. And so you actually have orders and sales related to one – a single or for five?
Martin Benante: Just a single, for now.
Bob Fetch – Lord Abbett: Okay.
Martin Benante: But the Air Force has – or Air Force – the Navy has funding for five.
Bob Fetch – Lord Abbett: Okay. They just haven’t released an advance.
Martin Benante: That’s correct. They are going obviously want to see what takes place on the first one. But the new aircraft carrier, it is – has it on it, it’s a definite. It’s one of the changes that has to get done. It will be on that aircraft carrier and it will start its prove-out within the next couple of years.
Bob Fetch – Lord Abbett: Okay. And what’s the revenue contribution from – for each carrier?
Martin Benante: I forget it. I thought it was somewhere around $20 million and somewhere in that area.
Bob Fetch – Lord Abbett: Okay. Update on the coker valve side, what’s your backlog there and what the current penetration is and whether the prior number of 640 coke drums that exists worldwide if that number hasn’t increased and expanded as well.
Martin Benante: Well, the number coke drums is 700 and right now there is anticipation that another 50 will be made and they are producing new ones. So, in our penetration, the top or in the bottom now it’s about 300 of that 700 and the top is about 150 of the 700 –
Bob Fetch – Lord Abbett: Okay, 300 bottoms and 150 tops so far?
Martin Benante: Yes, so that leaves us a lot of stakes.
Bob Fetch – Lord Abbett: And are you on all the 50 new ones?
Martin Benante: So far the 50 – there are 50 new injectors anticipated 50 new –
Bob Fetch – Lord Abbett: But are you designed –
Martin Benante: – that has been built. We have one, yes.
Bob Fetch – Lord Abbett: Fabulous. And then on the aerospace side I know helicopters are very important to you. What were the contributions during this period and can you give us some sense on the visibility and stability going forward in the next 12 to 24 months?
Martin Benante: Well, right now we do about $40 million a year (inaudible) and we see that as an – that number will continue improve.
Bob Fetch – Lord Abbett: Okay. And that includes any of the non-military, where you are getting significant orders on the – in the oil and gas side in particular?
Martin Benante: Right. We just look at it as a total market right now. So, we do supply a lot of the different equipment and the thing is we won a lot of brand new programs on the Blackhawk and commercial aircraft and that the $40 million definitely is going to go up.
Bob Fetch – Lord Abbett: Okay. And last question, if you were to look out over the next two to three years, which parts of your diversified business are likely to be the largest incremental revenue contributors to your growth?
Martin Benante: You are going to have the defense business especially embedded computing – embedded computing, our orders are up 44% year-over-year, so defense is going to do fine. Nuclear power, obviously, is going to be the faster growing. I think – still think gas and oil will do well because again when you look at the fact that most of the oil that you process is heavy crude, our products are in demand for that because of their improved life cycle cost to the customer over and above that they are intrinsically safe. So those are going to be areas I still think that the areas – the markets we are going to do very, very well and – but, I think obviously the nuclear power and defense will do just fine and commercial aerospace I believe is going to be somewhat neutral over that point of time.
Bob Fetch – Lord Abbett: So, when you compare yourself to say some industrial peers your direct economic sensitivity clearly appears to be a good bit less.
Martin Benante: We are about – I mean when you take a look if people were to go back through the last downturn from 2001 to – and then start the uplift in ’03, you notice that we did grow organically during that timeframe although it was small because we were – and that time you had large dips in commercial aerospace. You had 9/11, which kind of put things on hold, and we still grew. So, we feel that we are very well suited for an economic downturn, but obviously we do have portions of our business that will be affected by it.
Bob Fetch – Lord Abbett: So, does that suggest, net-net that it would be hard to imagine a scenario where you won't grow at all for a period?
Martin Benante: I think so. That was very hard for me – it’s very hard for me to see that happening at all. Now that you’ve asked that question, we never do look at it from – we always look at it from the standpoint that we will continue to grow because we feel that our organic growth is always – has always been good and we are going to continue to do well.
Bob Fetch – Lord Abbett: Thank you.
Operator: It appears we have no further questions at this time. I’d like to turn the call back to our speakers for any additional or closing remarks.
Martin Benante: Well, thank you, everybody, for joining us today and we look forward to our fourth quarter call in February. Everybody take care. Thank you.
Glenn Tynan: Thank you.
Operator: Thank you. Once again, that does conclude today’s call. We do appreciate you participation. You may disconnect at this time.